Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Corning Inc. Third Quarter 2010 Earnings Results. [Operator Instructions] With that being said, I'll turn the conference now to the Vice President of Investor Relations, Mr. Ken Sofio. Please go ahead.
Kenneth Sofio: Thank you. Good morning, and welcome to Corning's Third Quarter Conference Call. This morning, Jim Flaws, Vice Chairman and Chief Financial Officer will start the call with some prepared remarks and then go to Q&A. These remarks do contain forward-looking statements and the Private Securities Litigation Reform Act of 1995. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially. These risks are detailed on our company's SEC reports. Jim?
James Flaws: Thanks, Ken. Good morning, everyone. This morning we released our results for the third quarter, which can be found on our Investor Relations website. We have posted accompanying slides online as well. Here are the key messages you will hear today. First, our third quarter segment results were in line or better than revised guidance we provided on September 14. Telecom, Environmental and Specialty Materials sales all exceeded our expectations for the quarter. Telecom sales were up 5% sequentially, driven by strong fiber-to-the-home and private network demand. Environmental sales were up 13% sequentially, driven by stronger auto and diesel demand. And Specialty Material sales were up 26% driven by Gorilla Glass and Advanced Optics. Second, our Q3 results did benefit from a stronger yen-to-US dollar exchange rate in the quarter. Our free cash flow was $208 million in quarter three. For the first three quarters, our free cash flow now totals $1.2 billion. Glass volume in total for our wholly-owned business and SCP declined 8% sequentially, which was in line with the overall glass market. Worldwide retail sales of LCD televisions, with the exception of the United States, continue to be strong in the third quarter. Inventory levels at the panel makers and for the supply-chain in total have improved. For the entire supply chain, we believe there are about 17 weeks of inventory exiting the third quarter, down from 18.5 weeks entering the quarter. We saw a modest increase in utilization rates at the Taiwanese panel makers in October, which in turn resulted in a modest increase in demand for our glass. We believe this was in response to improved panel inventories and expectations for strong holiday retail demand. We are forecasting panel maker utilization rates to remain modestly higher the remainder of Q4 in comparison to the low point last quarter, which was in September. However, there is the possibility rates could be lower on average for Q4 versus Q3. As a result, we expect worldwide glass market volume could be flat to down slightly in the fourth quarter. We expect fourth quarter volume at both our wholly-owned business and SCP to be in line with the overall glass market. Worldwide glass demand remains on pace to hit 3.1 billion square feet this year. Our glass price declines may be more pronounced in the fourth quarter versus prior quarters. And lastly as a reminder, the fourth quarter is typically a weaker seasonal quarter for several of our businesses including Telecom. Now let me go to the details. Our third quarter sales were $1.6 billion, a 6% decrease from the second quarter and an 8% increase from a year ago. Our Q3 sales benefited from changes in exchange rates by about $45 million versus Q2. Moving down the income statement. Gross margin was 45% in Q3 compared to 48% in Q2. The decline was a result of lower volumes in our Display segment, which offset higher margin performance in Telecom, Environmental and Specialty Material segments. Gross margins included $20 million in Gorilla-related startup costs at Shizuoka. Please note, we did not record this as a special item. And as a reminder, our Q2 results also included $25 million in startup costs at Shizuoka. Operating expenses on a dollar basis were basically flat quarter-to-quarter. Other income declined from $65 million in Q2 to $2 million in Q3. The decline was primarily due to a $30 million loss on a retirement of debt. During the quarter, we issued long-dated bonds at very attractive rates, and we repurchased bonds with higher coupon debt. The loss was incurred on the tender of that debt and was treated as a special item in Q3. Our results were also negatively impacted by about $20 million in pretax foreign exchange loss in the quarter. As a reminder, we hedge monetary assets and liabilities that are denominated nonfunctional currencies. Gains and losses from these activities show up in our P&L. Exchange rates were very volatile in Q3, and our hedges can not always be perfectly matched to the movement in the underlying exposure. In any quarter, we can experience incremental gains or losses due to foreign currency movements. This quarter, those losses totaled $10 million. In addition, we incurred about $10 million of incremental onetime losses that are attributed to two large intercompany transactions related to our decision to repatriate $1 billion from our non-US locations in November. The loss stems primarily from market rate movements between when the dividends were declared to when we can get the underlying notion amounts completely hedged. While we understand placing a perfect hedge on these types of transactions is difficult, it couldn't have been executed more effectively. We do not anticipate this to repeat going forward. Our equity earnings were $504 million in the third quarter, an increase of 6% over the second quarter. Our tax rate was 3% in Q3. Net income excluding special items was $808 million in Q3 compared to $916 million in Q2. Net income benefited by about a penny from the change in exchange rates, including the impact in balance sheet and unhedged repatriation. Our share count for the third quarter is 1.58 billion shares and consistent with the second quarter. Now I'd like to turn to the segment results for the third quarter, and I'll start with Display. Third quarter sales were $645 million, 23% lower than Q2. Volume at our wholly-owned business was down about 25%, and glass pricing was down in line with previous quarters. Sales benefit from this change in the yen to U.S. dollar exchange rate, which averaged 92 in quarter two and 86 in quarter three. Display gross margins declined in the third quarter due to lower volumes. Equity earnings from SCP's LCD Glass business were $386 million in the third quarter, increase of 9% from the second quarter. Volume was up about 5% and pricing was down in line with previous quarters. SCP results also benefit from the change in the yen to U.S. dollar exchange rate. For your modeling purposes, SCP's third quarter LCD sales were $1.2 billion, an increase of 9% over the second quarter. As a reminder, this represents SCP's LCD sales only. Our public filings will report SCP's total sales, which include the CRT glass and other products. Now I'd like to spend a few minutes discussing the current supply chain starting with retail. Retail demand in Q3 was good across all major products: notebooks, monitors and televisions. I'll start with TV retail data. Worldwide LCD television unit sales at retail were up 33% in July and 25% in August. We don't have complete data to provide worldwide growth figure for September. In China, LCD TV unit sales were up 23% in July, 8% in August and September was up 23%. A lower year-over-year growth rate in August was likely due to consumers waiting for September holiday promotions. We believe the September growth rate was driven by strong holiday sales. These holidays fell between September 20 and October 10. Our data indicates about 5.5 million LCD televisions were sold during the Mid-autumn Festival and National Day holidays, which was in line with our expectations. In Europe, LCD TV unit growth was strong post the World Cup, up 13% in July and 14% in August. We do not have final data for September, but preliminary estimates indicate it was around 10% growth. Japan continued to post significant year-over-year growth rates. July was up 53%, August 69% and September was up 80%. Again for a market that was first to adopt the LCD televisions and where more than 90% of all televisions sold each year are LCDs, these are very impressive growth rates. we believe the echo point program and a faster replacement rate is driving much of this growth. Plan on sharing some of the data from our consumer study on this topic at our investor meeting in February. In the United States, sales were down 3% in July, down 11% in August and down 8% in September. We believe the lack of retail promotions during these months was a contributing factor. LCD televisions are still a very price-elastic product. One needs to look no further in China for proof consumer there waited for the holiday sales promotion to make their purchases. Retailers here in the United States are planning significant holiday promotions later this quarter, so we expect to see some year-over-year unit growth in November and December. In developing regions, converging Asia sales were up 79% July and 59% in August. South America sales were up 82% in July and 80% in August. We do not have September data yet for either. In summary, we have no change to our forecast of approximately 185 million LCD TVs shipped this year, which would be an increase of 28% over last year. Moving to monitors. Sales continue to be on track with our forecast, although back-to-school demand was weaker than expected. Our data is based on shipments of the top nine monitor brands, which make up 70% of the worldwide monitor market. Year-to-date sales are up 5%. In the Notebook segment, which includes traditional notebooks, net books, slates and tablets, our data is based on top five ODMs, which make up about 75% of the worldwide notebook market. Year-to-date shipments were up 29%, slightly higher than our forecast. I'd like to discuss the supply-chain inventory levels, starting with the panel makers. Utilization rates at the Taiwanese and Japanese panel makers hit a low point for the year during the month of September. In July, the first half of August, utilization rates were above 80%. In September, most of these large size pads were running less than 50%. This was not true for the green panel makers who ran at 90% or higher throughout Q3. Our production levels were down. Panel shipments were up slightly, led by shipments of LCD television panels. This led to panel inventories falling to what we consider to be a healthier level at the end of Q3. The average inventory levels at the Taiwanese panel makers reached six weeks in July and August but ended the quarter between four and five weeks. As a reminder, this is the average of all the Taiwanese panel makers. Some had more inventory and some had less. Looking at the entire display supply chain. There are approximately 18.5 weeks of inventory heading into the third quarter. We now believe that we're about 17 weeks of inventory at the end of the quarter. I'll have some more of our fourth quarter expectations for panel maker utilization rates and supply chain inventory levels in our outlook section. Now moving to the Environmental segment. Sales in the third quarter were $208 million, an increase of 13% sequential, which is much higher than our expectations. We continue to see very strong demand for light-duty filters, driven primarily by the Euro 5 regulations. The good news is that we had more capacity to meet this demand this quarter. As a reminder, Euro 5 was a filter forcing regulation for all the model platforms this year. As more new models come to the market, this generated additional demand for our light-duty filters. Our total diesel sales were up $14 million this quarter. Looking ahead to 2011, all models, new and existing, will be required to have a filter. For the gasoline auto market, worldwide demand remains robust. Worldwide auto production this year is estimated to be about $70 million, which equates to a 19% growth rate versus last year. We saw continued strong demand in Q3 to support this level of production. Improved manufacturing in auto businesses in the quarter allowed us to reduce the amount of products shipped via air resulting in higher gross margins. In the Telecommunications segment, third quarter sales were $464 million, up 5% from Q2 and higher than our expectations. Net income in the Telecom segment was $41 million in Q3, up from $30 million in Q2. We're very pleased with the segments results compared to last year. And while sales were up 3%, net income almost doubled. This is a testament to the segment's strong manufacturing performance and reduced cost structure. Sales increased across most products and markets. Demand increased for fiber-to-the-home products in North America and Enterprise products globally during the quarter. This more than offset the expected decline in fiber sales in China. Regarding a higher Enterprise sales, we're seeing both a stronger overall market and increased demand for our solutions. Market growth is being driven by increased data traffic from smart devices, growth in cloud computing and companies investing in IT to increase productivity. We have also seen significant customer interest in our Pretium EDGE solutions for the data center market. The demand is so great that conversion from our standard offering to Pretium EDGE is happening much faster than we planned. For Elite Telecom, I'd like to add we're very encouraged by the results from the national election in Australia in September, where the Labor Party who supports the deployment of a national broadband network won the election. If the project goes forward, it could be a significant opportunity for Corning. The network will reach 10 million homes, connecting 90% of the population with 100 megabits per second service. Sales in our Specialty Materials segment were $159 million in Q3, an increase of $33 million or 26% versus Q2. Increase was primarily due to strong demand for Gorilla Glass and advanced optics. As you're looking at the profitability of Specialty Materials segment on this slide, I want to remind you that we are recording the startup expense for TV cover glass manufacturing in this segment. Q3 we incurred another $20 million in startup and other construction-related charges at Shizuoka. In Q2, the startup costs were $25 million. I'm very pleased to report that we are already producing Gorilla Glass for television covers on the converted equipment. Gorilla Glass sales are currently on a pace to be about $250 million in sales this year. Have some updated figures to review this morning. Gorilla Glass is now used by 23 major brands around the world as a cover material for handheld and laptop applications. Our glass has been designed in more than 240 different models, more than 140 of these products are in the market today. At least another 90 will be in retail in the next six months. In terms of units, there are now more than 200 million with Gorilla Glass in use worldwide. Think about that, 200 million units, there's a good chance you, hopefully, own at least own one product that has Gorilla Glass. Lastly, we are also receiving some very interesting requests for Gorilla outside of consumer electronics. Requests are coming from auto, appliance and architectural industries and could provide even further revenue opportunities for us. Needless to say, we remain very excited about the future for Gorilla Glass. In Life Sciences segment, the sales in the third quarter were $125 million and consistent with the second quarter. Gross margin and net income were slightly lower, reflecting integration costs from the asked Axygen acquisition, as well as project costs associated with the new distribution center in China, which we announced in July. Turning to Dow Corning. Third quarter sales were $1.5 billion and relatively consistent with the record second quarter. Silicone demand continue to be very strong, especially in developing regions of the world. Sales at Hemlock Semiconductor were consistent quarter-to-quarter. Dow Corning did true up their effective tax rate in the quarter moving 35% to 40%. As a result, equity earnings declined 13% from $111 million in Q2 to $97 million in Q3. Now shifting to the balance sheet. We ended the second quarter with $5 billion in cash and short-term investments, up from $4.2 billion last quarter. Of our total cash and short-term investments, slightly more than 50% is located internationally. During the quarter, we issued $700 million of long-dated bonds at very attractive volume rates and repurchased $226 million of the higher coupon debt. Free cash flow was $208 million. Our free cash flow was about $1.2 billion for the first three quarters of the year. Free cash flow is a non-GAAP measure, and the GAAP reconciliation is on our website. Biggest outflow of cash during the quarter was for capital expenditures. CapEx was $225 million in the third quarter and for the first nine months of the year, it is now $534 million. Based on this levels of spending, our expectations for Q4: it's unlikely our CapEx will hit our previous $1.2 billion guidance from a few months ago. Our estimate for 2010 is now about $1 billion. We have no change to our 2011 estimate of more than $2 billion. I'd like to discuss two housekeeping items that will take place this quarter relative to our balance sheet. First, as I've mentioned in various investor conferences, we plan to repatriate slightly more than $1 billion of our non-US cash in quarter four. In connection with this intercompany rebalancing transaction, we will borrow against our revolving credit facility in November and then repay the loan in early December. SEC rules require us to issue an 8-K given that we're borrowing, although for only a very short period under our credit facility. I don't want any one to be surprised or concerned when we they see this filing. Second, we also plan to call a 100 million bond before year-end. Our balance sheet is in great shape, and we are well-positioned to support our aspirations to grow to be a $10 billion company in the next several years. Moving further down the balance sheet. Inventories increased from $607 million at the end of Q2 to about $712 million at the end of Q3. About half this increase relates to Display inventory, but there was also the impact of foreign exchange. As we've mentioned previously, inventory levels in Display have been very low for the past year. While excess inventory can be problematic, there is a certain level of inventory desired to operate this business at maximum efficiency. At an optimum level, inventory could help us minimize manufacturing costs and cover most unexpected disruptions. So we exited the third quarter close to the minimum level of Glass inventory we'd like to have. Given our expectations for Q4, which I'll cover in a moment, we will likely build some more Glass inventory this quarter. This is probably a good time also to discuss our R&D portfolio. We have two updates. First, we have decided to discontinue our synthetic green laser program. This was a difficult decision for us to make, but one that we felt was necessary. We believe the market opportunity for synthetic green lasers is closing. There has been accelerated advancement on what is known as native green lasers over the past year. While synthetic green lasers may be a viable industry choice over the short term, we believe its lifespan will be limited by native green. As a result, we felt it was not prudent for us to put more R&D dollars into our synthetic green laser program. There will be a charge equal to about $$0.01 of EPS in the fourth quarter, half of which will impact R&D and the other half gross margin. I have some good news to report also. About a month ago, Corning and Earlacon [ph] the world leading manufacturer of end-to-end and film TV solutions, announced a world record 11.9% conversion efficiency in the laboratory using Corning's glass on a research size silicon tan himself. We're very pleased to about this milestone. We continue to feel very good about our chances of making portable play Gas a viable new business for Corning. Now under our outlook. We expect our sales and EPS to be lower in Q4 compared Q3, due primarily to normal seasonality in Telecom and lower Glass pricing and display. We start with Display. We saw a modest increase in utilization rates at the Taiwanese panel makers in October. We believe this is in response to improving panel inventory levels and expectations for a stronger holiday retail demand. Our Glass demand forecast is based on the assumption panel maker utilization rates remain modestly higher for the remainder of Q4, in comparison to the low point last quarter, which was September. While we're expecting utilization rates to rebound in Q4, we are unsure at this time whether it will reach the level they were prior to the inventory correction. Admittedly, the fourth quarter is usually the most difficult for us to forecast given the specific market dynamics that take place this time of the year. Regarding the overall glass market, we expect market volume to be flat to down slightly quarter-to-quarter. For Corning, we expect our combined glass volume for our wholly-owned business and SCP to be in line with the overall market. We plan to continue to run all our Glass operations at full capacity to build some additional inventory. Regarding retail, we expect demand to remain strong in the fourth quarter, driven by heavy holiday promotions on LCD televisions, especially in the United States. We are modeling a significant amount of inventory to be pulled out at the supply chain during the quarter from retail to consumers. As a result, we anticipate supply chain inventory could fall to 16 weeks to 16.5 weeks exiting the year. Glass price declines at our wholly-owned business and SCP are expected to be in the mid-single digits in the fourth quarter. This is more than previous quarters and reflects the current imbalance of Glass supply and demand, which is causing pricing pressure from our customers. The fact that panel prices on certain panels have approached cash costs of some panel makers is also creating additional pressure. At Telecom segment, we expect fourth quarter sales to be about down about 10% comparison to the very strong third quarter. This decline is consistent with the seasonal decline we had seen in previous years. We expect sales in the Environmental segment to be consistent quarter-to-quarter. Expect light duty diesel demands to offset normal seasonal declines in auto. In Life Sciences, we expect sales to be up 5% sequentially as normal seasonal declines will be offset by full quarter sales from the newly acquired Plaslab. Specialty Material sales are expected to grow 10% to 20% sequentially, driven by Gorilla Glass. we anticipate Gorilla Glass sales to exit the year on a run rate of about $450 million, driven entirely by handhelds and IT products. At Dow Corning, we expect quarter four equity earnings to be down about 5% due primarily to the fixed cost drive from our new China facility. Moving to the income statement. We expect our Q4 corporate gross margin percentage will be lower than Q3, driven by the higher price declines in Display and the lower Telecom volumes. SG&A and R&D as a percentage of sales will be higher due to lower sales. SG&A will be around 17% and R&D around 10%. Investors should note that movements in the yen to U.S. dollar exchange rate influence our results. For your modeling purposes, for every one point move in they end, our sales and net income move about $10 million. The net income impact includes SCP, where a stronger yen could also improve their results. And finally regarding our Q4 tax rate, we expect it to be between 2% and 3%. Ken?
Kenneth Sofio: Thank you Jim. John, we're ready to take some calls.
Operator: [Operator Instructions] And first on the line is Mark Sue with RBC Capital Markets.
Mark Sue - RBC Capital Markets Corporation: Jim, your thoughts on why the worst may be over, as it relates to production thoughts, panel maker utilization rates, adjustments and also the price cuts to clear the inventory. Do you think the cuts in investments were quick and deep enough? Is the initial retail data showing firming trends pointing to strong holiday demand or is it more extrapolation of historical trends? In essence, do you feel it might be a little early for utilizations to be increasing from the Taiwanese panel makers or can we trend line higher utilization rates for the rest of the year and into 2011?
James Flaws: Mark, it's always difficult for us to forecast Q4 utilization rates. I think the month of December is the most difficult month for us to predict. I can tell you that October utilization rates were improved in Taiwan, and the order rate for November reflects that continuing. I would not say that we would characterize it as too early because we did see panel maker inventories decline. What we do need to see worldwide is good retail demand and lowering the inventory that exists at the set assembly level on our model. But I will stress that the increase in October was a lot versus the low point in September. But remember, it was not back to where it was in July and August.
Mark Sue - RBC Capital Markets Corporation: Historically, Jim, can you remind us when things are probably bottom in terms of inventory weeks? Is it at 16, 15 weeks?
James Flaws: Our model actually, we have seen as low as 13. At that level, which was coming out of the pulldowns last year. We think that results in a lot of out of stocks. We think a more normal operating range is 15 to 20. As it approaches 20, that's too much inventory. As it gets to 15, you approach out of stocks. I think we would be delighted at the supply chain exited this year at around 16 weeks. Our model shows between 16 and 16.5.
Mark Sue - RBC Capital Markets Corporation: Just on the repatriation of the $1.1 billion, are there any tax implications for that?
James Flaws: The tax implications are actually positive. And that is way, you may recall, we announced in April that our tax rate was going from 10%, down to 2% to 3% for the year. We're required to even thought the repatriation was occurring in November, once we decided that basically had to accrue at that rate for most of the year. So it was actually a very positive event for us.
Operator: Our next question is from Rod Hall with JPMorgan.
Rod Hall - JP Morgan Chase & Co: I just wanted to follow up on the repatriation question and ask, there are people with notable business leaders like John Chambers talking about changes to the repatriation laws that they expect to happen after the election. I wouldn't be sure and I know, but I just wonder for a timing point of view, are you guys saying that you don't believe that, that is worth waiting for and you're going to go ahead now? Can you just kind of help us understand why you went ahead with it now and didn't wait to see what came through on the legislation?
James Flaws: We made a decision in April on this repatriation that's actually more favorable to us than anything that's being proposed in Congress. And Also there was no point on waiting. So this one has something we've planning for a number of years and we've structured such that it related to a very positive benefit to our accrued tax rate. So there was no reason for us to wait. I want candy cap what's going to happen in Congress. Obviously, we generate cash overseas, and we'll work to take advantage of whatever legal structure exists in 2011 and beyond.
Rod Hall - JP Morgan Chase & Co: And then also I wonder if you could help us understand, it sounds like there's pricing pressure from the suppliers or from the people actually buying the glass, the panel manufacturers. And I wonder if you can help us understand the linkage between that and demand. So if demand did weaken further in Q4, would you expect further pricing pressure to be that much more exacerbated? Or do you think pricing is kind of as bad as it can get at this point?
James Flaws: We don't anticipate much different from what I outlined with our price declines in mid-single digits. I mean, we're one month into the quarter, we've met with a lot of our customers and walked through all the pricing. So clearly, that's a changed statement from what we experienced in prior quarters. I don't think we expect to see much difference. We have not done anything on pricing for next year. And I think it's premature for us to do that until we all see how demand exits the year and what the supply chain looks like.
Rod Hall - JP Morgan Chase & Co: I was just trying to get a feel for the linkage between demand and the pricing. So if demand did worsen, I know you don't expect it to at this point, but if it did, do you think the guys would come back to you for even greater price breaks? Or do you think that pricing would remain relatively stable even in the worst demand environment?
James Flaws: Our expectation is that it remains similar. The biggest price pressure really is what's happening to panel prices because that's what drives a lot of the pressure on us and our competitors. In some cases, panel prices have gotten the cash costs and we have seen some panel makers refuse to take orders at that level. So we're not anticipating anything significant change from the pricing guidance we've just given even if demand turns out to be a little bit weaker.
Operator: And next, we'll go to Brian White with Ticonderoga.
Brian White - Ticonderoga Securities LLC: When we look at the TV market in the U.S., Jim, we have five months of year-over-year declines, pretty easy comps for at least two or three of those months due to the digital upgrade last year. What does that tell us maybe about the penetration rate in the U.S.?
James Flaws: I think it's difficult to judge on the penetration rate. I mean, penetration rate in terms of annual sales, I mean LCDs remain still about 90% of all televisions being sold. In terms of the effect on the install base, I think it's a little hard to make a judgment on that based on just five months worth of television sales. As you've heard me say a number of times, the period of time, May through August, is a normally not a television season. You can always tell this by looking at advertising. People don't promote a lot of televisions during this period of times, and frankly, consumers are not as interested in televisions in the U.S. market. This has been historically true for a long time. But we do find that there was clearly a changed statement that occurred this past summer in the United States. We saw the effect of the higher panel prices earlier this year. We saw very little promotions during this period of time. And in general, I think there's a sense that the U.S. economy was weaker during this period of time. But it think it's premature to draw a perspective on what the impact is on the ultimate penetration on the install base.
Brian White - Ticonderoga Securities LLC: And when we look at China, up 8% in August, up 23% in September, and if we look back a year ago, we saw rates above 64%, up 75%. I know China has a big subsidy program so obviously pulled in some orders. What are your general views on kind of the trends we should think about in China over the next 12 months?
James Flaws: I think one of the things that you have to keep reminding when you compare this year versus last year is even in China, penetration rate in terms of the number of televisions being sold for LCDs is approaching mid-80s this year. So the fueling of the growth rate from the penetration change is ending. So we will fall to a more normal year-over-year kind of growth rate, and that's driven by what the pricing is and what kind of promotions that exist. And obviously the economic environment, the Chinese government represents. We were not expecting growth rate through any of those astronomical levels in China forever. We are expecting to see excellent growth in China again next year.
Operator: The next question's from CJ Muse with Barclays Capital.
Christopher Muse - Barclays Capital: I guess first question on pricing. I guess, can you share a little bit in terms of what the mid-single digits mean? Is that 4% to 6%, 5% to 7%. And I guess also, importantly there, are you starting to see having to give a little bit of the benefit to your customers in terms of migrating more to thinner glass?
James Flaws: Moving to thin glass has not been a significant portion of our Glass yet. Clearly, we will give some of the benefit to them in terms of that move and they're aware of that, but that's not a significant part of the demand. A mid-single digits means that's, and I won't give you more detail on it. But it definitely is the mid-single digits, and we are expecting that to be helping both our base business and in SCP.
Christopher Muse - Barclays Capital: And in terms of the price negotiations, has that been fully set across all gen lines or that's to be continued in terms of negotiating?
James Flaws: I believe we're pretty much done with all our customers and on all the generations.
Christopher Muse - Barclays Capital: And then as a follow-up, on the gross margin side, I guess, can you talk a little bit about what transpired for the Display side, clearly with the benefit of FX helping? And then what kind of trajectory we should see there for Q4? And whether there's anything we should be thinking about in terms of the build of inventory and the implications to display gross margins going forward.
James Flaws: Okay, so as a reminder on FX, FX doesn't change the margin percent because we're translating both the sales and the cost of sales. The Display gross margins were down in Q3 versus Q2, even though we continue to run all our facilities. And the primary reason is because we sold 25% less glass and at the very, very high margins we have. Even though we had pretty lousy inventory, we didn't get the benefit of the sales against the very low cost of making a product. So that is the biggest driver in the down Q3 versus Q2. We will be down in the Display business in Q4 versus Q3. And in that case, the down is only really driven by price because we're saying we expect our volume to be either flat or maybe down just slightly. we're not expecting another steep downdraft like we incurred in Q3 versus Q2. But we feel fine about our Display gross margins. Obviously, a little disappointed that the supply-chain gyrations caused us to have a slightly higher price decline in this upcoming quarter. You may recall me saying early in the year, we certainly had hopes as people build inventory that this wouldn't lead to a quarter where we had to have more pricing pressure, but our hopes were misplaced. But in terms of how we're running and our cost and as soon as demand picks up, the margins will go up. In terms of the inventory we're building, we feel very comfortable with the level we're building. To the degree we feel it gets too much then we can just switch a tactic Gorilla faster than we would otherwise, and that's, again, good for us because frankly, we've been shorting the Gorilla market.
Christopher Muse - Barclays Capital: What tax rates should we assume for 2011, any change there?
James Flaws: The tax guidance, no change. We're still expecting it to move up close to 20%. Obviously, we're very focused on what's happening in Washington. There are a number of things that could have an impact on us. We would love to see the Tax Extender Bill that's been put forth a couple of times go through. That could lower our tax rate by over 3%. And obviously, we continue to work on other programs that maybe could lower it. But for your guidance right now, I would use the upper teens.
Operator: And next we'll go to Nikos Theodosopoulos with UBS.
Nikos Theodosopoulos - UBS Investment Bank: It looks like Specialty Materials, the gross margin was up sequentially. Can you comment on how the Gorilla gross margin did sequentially? Did it also increase by similar amounts? And would we expect that to also continue in the fourth quarter since we expect Gorilla Glass to be up sequentially?
James Flaws: I'll speak about Gorilla Glass, excluding the Gorilla TV cover charge that occurred in both quarters. Our gross margins on the Glass we're selling to IT and handheld improved in Q3. We're starting to reach the point where I would say we're delighted, and there's a lot of smiles on this very new product that we're getting very high gross margins on the Glass the alone. We hope to have that continue, maybe jump up a little into Q4. And we're frankly just delighted by the IT and handheld Glass portion of the business and the gross margins are just going up very well for us. And we're expecting strong demand against next year, and we'll be making some of this on larger tanks, which should hopefully drive our costs down even more.
Nikos Theodosopoulos - UBS Investment Bank: I believe the revenues so far do not include any TV sales. Can you update us on where that stands? And does the margin then take a hit back down? When do you start selling it to TV application and maybe if you could just revisit the outlook next year? I think earlier, a couple of months ago, you mentioned that the business could be up to $1 billion next year given sometime has gone by, can you give us an update on that.
James Flaws: We will ship small amount of TV cover glass in quarter four, but it'll be very tiny. The margin on TV cover will be lower and therefore, the degree that that's a large sales next year, it will harm Specialty Materials compared to Specialty Materials on a margin percent basis, which just IT and handheld alone. How big the cover glass number is, is very dependent on, frankly, the strength of the television market and particularly upper end TVs. We've said we believe that could be a several hundred million dollar business. I think compared to our earlier expectations of getting to a $1 billion, I think it's still possible. It requires cover glass to be success. Frankly, compared to our original expectations, I think we know think handheld and IT will actually be stronger than what we originally expected. So I still think we have a shot of making $1 billion even if cover glass doesn't do as well in television. But we're delighted by the margins on IT and handheld. Our cover glass will be difficult for us in the beginning. It's very hard to make these very large pieces. But again, we expect it to be positive, and hopefully, as this business matures, we'll move up in gross margin.
Operator: And we'll go to Jim Suva with Citi.
Jim Suva - Citigroup Inc: On the pricing environment, Corning has long stated about their disciplined pricing environment of kind of down 2% to 3%. One would think with only three to four industry suppliers and Corning's leading market share, you could maintain keeping discipline down 2% to 3%. So the question is around, one has to wonder if down mid-single digits, is that actually starting to become the new norm, especially since we haven't seen any additional capacity come on from the China expansion yet? Or do we think the more disciplined pricing could come back into the equation in the future beyond Q4?
James Flaws: I think it's a little premature to decide if this is a new normal based on one quarter. What drives the pricing pressure for us is when there is a gap between us and our competitors. They cannot get too large. And at the level of glass demand that's occurring right now, there is excess glass capacity. So as much as we'd love to be able to stick to our strategy of the rates you were talking about, we can't do that in an environment where there is excess glass capacity, and there clearly is now against what the industry had in place relative to what the possibilities have been earlier this year on the market growth. I don't think this has to become the new normal. I'm not going to give price guidance for next year at this point in time. But clearly, it's our desire to try and help the glass industry to have lower price decreases than what we're experiencing this quarter. But I think it's premature to declare that this is the new norm.
Jim Suva - Citigroup Inc: If demand exiting Q4 and sell-through wasn't what you expected, would you look at lowering utilization or actually lowering pricing again?
James Flaws: I think what we would do is switch more of our capacity to Gorilla and then it's premature for me to say what the pricing environment is going to be under that scenario. A lot depends on what our competitors do at that point in time. But I think if demand is lower, what we'll do is switch to Gorilla earlier than we had planned.
Operator: And we'll go to Steven Fox with CLSA.
Steven Fox - Credit Agricole Securities (USA) Inc.: First of all, on your unit outlook, can you talk about any influence, positive or negative, of the Chinese New Year next year is having on unit production of your customers? And then secondly, you highlighted on the fiber side, debated demand is strong and your competitive advantages. I was wondering if could just go into some more details on why you're picking up share in the data center?
James Flaws: On the ladder, it's really our Pretium EDGE solution for data centers in terms of the space and the ease of labor installation. It's really the advantage that we think we have there. On unit demand for the Chinese New Year, we've not heard a lot. We've had some commentary from a few of the Chinese television manufacturers beginning to talk about their expectations for that and making sure they had inventory. For that, that may be playing in some want to the Taiwanese panel makers thinking, because as you know, a large portion of television panels going through China have come from Taiwan. But I don't have much marketing input right now about the New Year in terms of plans.
Operator: And we'll go to Simona Jankowski with Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc.: On your capacity utilization plans into the first quarter. Clearly, you have built inventory here in Q3 even if panel inventories have come down, and then you're expecting the same in Q4 as far as increasing glass inventory even if panel inventory has come down. Do you see any scenario, if demand is disappointing in the fourth quarter, where you might actually have to take off-line in the slower first quarter or do you think that, that scenario is pretty much off the table at this point given that you can repurpose some of that capacity for Gorilla?
James Flaws: I think it's unlikely that we would take anything off-line. I think that most likely is that we will convert more tanks to Gorilla. Then we are planning in quarter one to begin converting some of the large capacity to Gorilla. I think the only thing that would change the statement would be advancing some of that a little bit.
Simona Jankowski - Goldman Sachs Group Inc.: When I look at your $2 billion CapEx guidance for next year, can you give us a sense of how much of that is going at the gorilla versus the display or other? And then also, by how much do you think you'll increase your glass capacity next year based on who that CapEx also taking into account the transition to thinner glass?
James Flaws: I'm sorry. We are not giving out that level of detail on your capacity or CapEx yet.
Operator: And next go to Carter Shoop with Deutsche Bank.
Carter Shoop - Deutsche Bank AG: Can you give us a little bit of a preview on how you expect to grow the company to $10 billion over the next several years? I imagine you'll hear a lot of this at the February Analyst Day but just any kind of color would be appreciated.
James Flaws: The things that have to occur for us to get to $10 billion is in the Display business as we know it today. We need to have television demand worldwide continue to grow in the areas of the world that are not fully penetrated. We define full penetration in an annual basis to be around 90% for LCD. So what we call emerging areas is not there yet. We need to have that occur. And we need to have television demand reflect a stronger replacement rate than what existed under the CRT era. And then we need to continue to see good IT demand as we go forward. But we need to see Display continue to grow driven by those things. Second, and speaking to our existing businesses, we need Environmental to have the diesel business fulfill it's fruition. We think we're beginning to see some of that take place as the number of trucks have started to increase. And we're confident that we can manufacture the product better, and we'd like to have a big diesel business. We're still trying to get it to be a $500 million business in 2012. And so that's got to happen. In Life Sciences, we have a goal to make it to be a $1 billion business. Most of that growth will come from acquisitions. You've seen us do two deals in the last two years, and we expect to continue to grow by acquisition. We need to have Gorilla be a homerun, which we think is on its way to become, driven clearly by IT and handheld. And we think we'd like to see our cover glass business develop. But it looks like Gorilla is turning out to be a homerun and if that continues to play out, that's very important. And lastly, we need to get something out of our new business efforts. And although green laser is now turning out to be a disappointment, we continue to have good hopes for photovoltaics and a closely related to gorilla but probably likely to be slightly different as we get some growth out of architectural or automotive on strengthened glass. If you put those things together and they come together and FX behaves, I believe we have prospects to get to $10 billion.
Carter Shoop - Deutsche Bank AG: Other income, would you expect that to rebound to more traditional levels at about $50 million per quarter in the fourth quarter?
James Flaws: It will definitely rebound up whether it gets exactly the 60, I'm not sure. But we definitely don't have the debt tender. The call we're doing in the fourth quarter has no charge, and I'm hopeful that we have no FX issues.
Carter Shoop - Deutsche Bank AG: And then lastly, why aren't you anticipating to see a little more of a rebound in the wholly-owned business and display given the relative underperformance in the third quarter? I would expect to have seen a little bit more of a snapback in the fourth quarter there. Relative to the overall industry.
James Flaws: Our wholly-owned business services primarily the Taiwanese, Chinese and the Japanese panel makers. And until they raise utilization rates that would deliver that, it's not going to have a big snapback. And there's been nothing about their utilization rate and order rates communicated to us that they would do that. I think some people focus on their area shipment numbers. And again, a reminder, because of the fact that they can reduce inventories, they could be shipping more than what they're taking from us. I can tell you is if turns out that they're going to run higher, we'll be to be happy to supply them the glass because we'll have.
Operator: And next, we're going to Yair Reiner with Oppenheimer.
Yair Reiner - Oppenheimer & Co. Inc.: On utilization rates in Taiwan and Korea, it seems those are beginning to converge a bit. Can you read through that, that in the fourth quarter incrementally Display volumes or all your volume business be up a bit and the SCP down a bit?
James Flaws: It's possible that, that could occur. Clearly, there has been a slight pullback in Korea, which we didn't experience before. So it's possible that we may do a little bit better in the base business than what we're seeing in SCP. I mean our guidance for both of them are similar but frankly, that could easily occur.
Yair Reiner - Oppenheimer & Co. Inc.: And then can you give us some insight into the gross margins in your environmental business. You said in the past there's a lot of leverage there. Directionally, I know you don't give too many details but directionally, can you give us a sense of how much gross margin improved there in the third quarter and how much room is there for gross margin to continue improving next year?
James Flaws: I don't have the exact numbers right in front of me in terms of the gross margin improvement versus, I think, probably improved about 4%. The Auto business catalytic converters is back to its historical levels in the mid-40s. Obviously, the challenge for us is in the diesel opportunity, and we think there's a lot of room to move. Our light-duty filters today have good gross margins. They can get better. Our heavy-duty business has terrible gross margins, but we believe that we can get them up also. So as airfreighting ends and as our manufacturing performance improves in diesel, we expect to see the overall segment gross margins move up as we marched through 2012 when we expect the diesel business to finally hit the sales we've been hoping for.
Operator: And we go to Vijay Rakesh with Sterne Agee.
Vijay Rakesh - Sterne Agee & Leach Inc.: Just on the Gorilla Glass, you mentioned bigger tanks, should that improve margins on that closer to the LCD glass margins as we look at next year? And what's the company, the landscape on the Gorilla Glass?
James Flaws: Well, we do expect to improve gross margins in the Gorilla Glass on the glass alone for IT and handheld. We're not expecting it to get all the way to the LCD margin. But we think we'll all be very happy with the margin level, particularly going to larger tanks does help. In terms of landscape, the competitive landscape is wider than it is for LCD glass because we have to compete. You can't have strength in the soda line. We now have a competitive or product from one of our LCD manufacturers in the specialty glass. We never expected to have this deal all to ourselves, but we continue to believe that we have leadership in terms of performance in this area.
Operator: That will be from George Notter with Jefferies.
George Notter - Jefferies & Company, Inc.: I would love to ask a couple of questions on Gorilla Glass. When you look at your ability to ramp, your capacity there, how long does it take to convert traditional tanks to Gorilla Glass? And then when you think about next year and the capacity you're driving towards, was that fairly well in line with demand or is it likely that there will be some excess demand out there and you're not able to fulfill all the orders that you'd like?
James Flaws: We don't give out the glass change over time for competitive reasons, but it's not a long period of time. I think what you're starting to see in the Gorilla business and you'll see more next year is that business is getting large enough to where Gorilla can have dedicated tanks to it that don't have to change a lot. Up until now, the Gorilla business has been primarily in Kentucky older and smaller banks and we had to do a lot of changing around. As it gets larger and we have dedicated large tanks running it all year round, that's a positive advantage to us and we don't have to go through these changes. But they're are not very large. Your second question was?
George Notter - Jefferies & Company, Inc.: Just on your ability to meet demand next year. Would you expect that with the capacity you're planning, is that aligned with the demand you see or is there still some differential there?
James Flaws: I would say that we're getting closer to being in balance for next year, simply because we've taken steps to provide more capacity to the Gorilla business. Wendell would say that he still thinks he could sell more. So I think we'll have to see where we stand at the end of the first quarter, but I think there's more upside than downside in gorilla. Just a quick couple of closing comments. In terms of investor events, we're going to be in Toronto on November 3, and we'll be hosting an open luncheon for investors. If you're interested in attending, please contact our Investor Relations department. Second, our next formal presentation will be at the Barclays Technology Conference in San Francisco on December 8. And we hope to see many of you there. And lastly, we have a formal date for our Annual Investor Meeting in New York City. It will be on Friday, February 4, starting at 8 a.m. and ending around noon. For details and to register for the confidence, please log onto our Investor Relations website on corning.com. Ken?
Kenneth Sofio: Thank you jim. Thank you all for joining us this morning. A playback of the call will be available beginning at 10:30 a.m. Eastern Time today, will run to 5:00 Eastern Time on Monday, November 15. To listened, dial (800) 475-6701. The access code is 174406. Audio webcast won't be available on our website during this time. And John, that concludes our call this morning. Please disconnect all lines.